Operator: Good morning, ladies and gentlemen. Welcome to Central Puerto's Third Quarter 2023 Earnings Webcast. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. Please note, this event is being recorded. If you do not have a copy of the press release, please refer to the Investor Relations support section on the company's corporate website at www.centralpuerto.com. In addition, a replay of today's call may be accessed by accessing the webcast link at the same section of the Central Puerto's website. Before we proceed, please be aware that all financial figures were prepared in accordance with IFRS and were converted from Argentine pesos to US dollars for comparison purposes only. The exchange rate used to convert Argentine pesos to US dollars was the reference exchange rate reported by the Central Bank for US dollars for the end of each period. The information presented in US dollars is for the convenience of the reader only, and you should not consider these translations to be representations that the Argentine peso amounts actually represent these US dollar amounts or could be converted into US dollars at the rate indicated. Finally, it is worth noting that the financial statements for the third quarter ended on September 30, 2023, include the effects of the inflation adjustment. Also, please take into consideration that certain statements made by the company during this conference call and answer to your questions may include forward-looking statements, which are subject to risks and uncertainties that could cause actual results to be materially different from the expectation contemplated by industry remarks. Thus, we refer you to the forward-looking statements section of our earnings release and recent filings with the SEC. Central Puerto assumes no obligation to update forward-looking statements, except as required under applicable securities laws. To follow the discussion better, please download the webcast presentation available on the company's website. Please be aware that some of the numbers mentioned during the call may be rounded to simplify the discussion. On the call today from Central Puerto is Fernando Bonnet, Chief Executive Officer; Enrique Terraneo, Chief Financial Officer; and Pablo Calderone, Corporate Finance and Investor Relations Manager. And now I will turn the call over to Pablo Calderone. Please, Pablo, you may begin.
Pablo Calderone: Thank you very much, and good morning to you all. We are joining you today with our management team from Buenos Aires, Argentina, to comment on our result of the third quarter of 2023. Taking a moment of your attention to review today's agenda, I would like to begin the presentation by addressing shortly the main figures of the quarter, followed by a quick update of the regulatory framework of the Argentine energy sector, and then move on to analyze the evolution of our financial results. Finally, at the close of my presentation, we will be happy to address any questions that you may have. Before going into a more exhaustive analysis of the evolution of our main financial and operational data, let me briefly review the main figures of the Central Puerto Group during the third quarter of 2023. As you may know, with the acquisition of Central Costanera performed earlier this year, the group's system capacity has increased by 48% year over year to 7,113 megawatts. Furthermore, energy generation amounting to 5,721 gigawatts per hour, being a 46% increase with respect to the same period of 2022. It is worth noting that with the acquisition of Central Costanera performed earlier this year, the Group system capacity has increased by 48% year-over-year to 7,113 megawatts. Furthermore, energy generation amounting to 5,721 gigawatts per hour, being a 46% increase with respect to the same period of 2022. It is worth noting that with the acquisition of Central Costanera and the more recent acquisition of the solar farm Guanizuil II A, the Group has become the largest energy generation company in Argentina, both in terms of system capacity and energy generation, with a diversified portfolio of assets across all power generation technologies. With regards our financials of the quarter, revenues amounted to $166 million, increasing 21% compared to the same period of the previous year, while adjusted EBITDA totaled $89 million, being 5% below the one of a year ago. Net income for the period was positive in $11 million, recording a decrease of 66% as to the same period of 2022. Finally, while we continue deleveraging the company, during the quarter, our net debt has been substantially reduced. The last November 2, the Board of Directors of the company approved a dividend distribution of 29.7 pesos per ordinary share to be paid on November 16. This way, when we exclude the dividend amount from our cash and equivalents in a pro forma basis, our net debt would result in a slight $21 million increase with respect to December 2022. Now, moving to the most recent regulatory update, it is worth mentioning the following resolutions. On September 6, 2023, the Secretariat of Energy issued Resolution Number 750 which updated remuneration prices for energy generation and power capacity for units not committed in a power purchase agreement, increasing by 23% remuneration values since September 2023. Furthermore, on November 2, the Secretariat of Energy issued Resolution 869 which updates remuneration prices for the same generation units which are not committed to PPAs and the resolution increased remuneration values by 28% since November 2023. On July 26, the National Secretariat of Energy through Resolution 621 announced a national and international open call called Terconf for the submission of offers for new thermal plants or use with certain characteristics with the aim of incorporating approximately 3,000 megawatts of firm and reliable thermal power generation capacity to the national interconnected system. The successful bidders under this tender will enter into a PPA with CAMMESA. Submissions of bid took place on September 26, while the technical qualification was carried on October 23 and the opening of economic bids on October 27. CAMMESA will evaluate the economic offers based on different factors such as efficiency of the plant, price offer, node where to be connected, and age of the machine. The combination of these different factors will define the final price with which the project will compete. To date, CAMMESA has not issued a decision on the awarding of projects. As part of this biding process, the Group presented projects in Central Puerto for 312 megawatts and in Central Costanera for 516 megawatts. Continuing with our strategy to diversify our energy metrics and consolidate in the renewable energy market, on October 18, 2023, Proener, one of our subsidiaries directly acquired 100% of the capital votes and stock of Cordillera Solar and Scatec Equinor Solutions, owners and operator respectively of the solar power plant Guanizuil II A. The solar power plant is located in the province of San Juan and has a nominal capacity of 105 megawatts, generating approximately 300 gigawatts per hour in a year. The plant comes with over 358,000 solar panels and covers a total area of 270 hectares, being the third-largest solar farm in Argentina. The solar farm has a capacity factor of around 33%, exceeding the average for the region and positioning it as one of the farms with the best capacity factor in the world, which allows it to produce energy to supply the demand of approximately 86,000 homes. The remuneration scheme of the power plant is a PPA with CAMMESA of around 20 years maturity under the Program Renov.ar 2.5. With this acquisition, Central Puerto will generate approximately 10% of the country's total solar capacity, reaching a total renewable energy capacity of 475 megawatts, of which 80% correspond to wind energy and 20% to solar energy. Now let's use the next two slides to analyze the evolution of the Argentine energy market during this quarter. As we can see in Slide 7, the country's installed generation capacity has increased by 1% or 554 megawatts, reaching a total of 43,453 megawatts compared to 42,889 megawatts in the third quarter of 2022. This increase in capacity was mainly due to the incorporation of 424 new megawatts from renewable sources, increasing 8% vis-a-vis the same period of 2022, of which 235 megawatts correspond to solar photovoltaic projects, 183 to wind farms, 3 megawatts to biomass and finally 2 megawatts of biogas generation units. In turn, thermal capacity sources recorded a net 0.5% increase, or 130 megawatts as a combination of incorporation to the system of 735 megawatts of new combined cycles and the decommissioning of 567 megawatts and 38 megawatts of gas turbines and diesel engines, respectively. Now let's move to the analysis of the power generation and demand of the period. In the third quarter of the year, energy generation increased 7% to 35,861 gigawatts per hour compared to 33,454 gigawatts in the third quarter of 2022. This was mainly due to a strong increase of 63% in hydro generation, followed by a rise of 6% in the supply of renewable energy, which resulted in a lower requirement of thermal and nuclear generation, which decreases of 12% and 6%. The higher power generation in third quarter 2023 vis-a-vis the same period of last year was a direct consequence of a 1% increase in energy demand, which was essentially driven by a 4% increase in residential consumption. It is worth mentioning that residential demand decreased during July and remained almost flat during August due to milder temperatures. However, lower temperatures recorded during September 2023 boosted residential consumption by 14% on a year-over-year basis, being partially offset by a 6% contraction in industrial demand due to a drop in major user consumption through the distribution networks. The slightly higher demand was mainly covered with more generation from hydro and renewable sources as previously stated. In the first case, the increase in generation was a direct result of higher flow rates, mostly in the Comahue region of the Provinces of Neuquen and Rio Negro. Comparing the third quarter 2023 with third quarter 2022, flow rates of the rivers Collon Cura, Futaleufu, Limay, and Neuquen rose by 86%, 83%. 64%. 167%, respectively. Flow rates of Uruguay and Parana rivers were also higher, but the increments were much lower in comparison. It is worth to mention that during the third quarter of 2023, the flow rate of the Collon Cura river was higher than historical rate for that period, with peaks even higher than the historical maximum flow rate recorded for September. In the second case, the growth in generation was a direct consequence of new capacity added to the system as detailed above. The higher hydro and renewable generation prompted lower thermal dispatch, which was also impacted by lower availability levels, mostly from steam and gas turbines. This resulted in a decrease in fuel consumption, especially for fuel oil of around 69% in a year-over-year and diesel of 16% on a year-over-year basis. The higher supply of hydraulic and renewable generation also prompted lower nuclear dispatch, primarily for Emabalse and Atucha I power plants since Atucha II was under maintenance works. Going now to our key performance indicators for the quarter, on Slide 9, we can see that power generated by Central Puerto rose by 46% to 5,721 gigawatts per hour compared to 3,932 gigawatts in the same quarter of 2022. It should be noted that this increase includes the incorporation of 767 gigawatts per hour generated by Central Costanera, which was acquired at the end of the first quarter of this year and is not included in the third quarter 2022 figures. Thus, when analyzing the energy generated in the quarter, excluding data from Central Costanera in the quarter-over-quarter comparison, the increase reached to 26% to 4,953 gigawatts per hour. Hydro generation explained most of the 46% increase in gigawatts per hour production in the quarter. Piedra del Aguila hydropower plant increased 248% its energy production, which was a direct result of the rise in the flows of the rivers Collon Cura and Limay compared to the same period of 2002 as previously mentioned. The flow rate of the Collon Cura river was higher than historical average for the period, with peaks even higher than the historical maximum flow rate recorded for September as previously mentioned as well, Renewable energy as a whole increased 1% between third quarter 2022 and third quarter 2023, mainly explained by La Castellana II and Genoveva I and to a lesser extent Manque and Los Olivos, which recorded high wind resources and availability of wind turbines. Regarding thermal generation, it rose 9% between third quarter 2022 and the third quarter 2023, which includes the energy produced by Central Costanera. If this power generation is excluded, thermal generation actually decreased 17% in the third quarter of 2023 when compared with the same period of 2022. This situation is basically explained by the much higher hydrogeneration of the period as previously mentioned, which prompted lower thermal dispatch, particularly in the Puerto site. Some steam turbines, mainly at the Central Puerto, Costanera and Mendoza plants were also unavailable during the quarter, while on the other hand, some gas turbines of Mendoza and the one of Brigadier Lopez plant increased substantially their energy generation during the period. The generation from San Lorenzo plant shrunk in this period because of gas scarcity. In terms of availability, Central Puerto performance continued to be better than the market when we exclude Central Costanera since this power plant has been carrying out several maintenance programs. Finally, steam production declined 12% during the third quarter of 2023, which is explained by a 28% contraction in San Lorenzo and increase of 16% in the Mendoza cogeneration plant. Now summing our revenue analysis, as you can see on Slide 10, this amounted to $166.5 million in the quarter as compared to $137.7 million in the same period of 2022. First, it should be noted that in this quarter, revenues of the Central Puerto Group include those corresponding to the acquisitions of Central Costanera and the Forestry companies, which cont revived with $21.2 million and $8.2 million, respectively. Thus, when excluding these effects, the variation in revenues would be a slight decrease of 0.4% or $0.6 million as a combination of the following factors. First, a 23% or $11.5 million increase in a spot/legacy energy sales, which amounted to $62.2 million in the third quarter of 2023 compared to $50.7 million in the third quarter 2022. This was driven by a higher energy dispatch from Piedra del Aguila hydro power plant, a higher thermal availability from Central Puerto's combined cycle, and the end of the Brigadier Lopez gas turbine PPA contract in August 2022 when it began to be remunerated in the sport market. All of this being partially offset by a lower generation from thermal units on the back of a higher hydro resource and a lower remuneration in dollars. A 28% or $1.9 million increase in steam sales, which totaled $8.5 million in the quarter compared to $6.6 million in the same period 2022. This was due to a combination of better prices in dollars, a 12% decline in volumes produced as previously mentioned, and a revenue adjustment with a negative impact in the revenues of the third quarter of last year. Finally, a 16% or $12.7 million reduction in sales under contracts, with total $63.6 million in the quarter compared to $76.3 million in the third quarter 2022. This was mainly the result of the end of the Brigadier Lopez PPA contract in August 2022, as previously mentioned. Jumping now to Slide 11 for a better understanding of the evolution of our adjusted EBITDA. During the third quarter 2023, the Group adjusted EBITDA amounted to $88.8 million, including the adjusted EBITDA from Central Costanera and the Forestry companies of $6.6 million and $4 million, respectively. Then, on a consolidated basis, the adjusted EBITDA of the quarter recorded a contraction of 5% compared to the $93.8 million in the third quarter of 2022. When analyzing the adjusted EBITDA excluding acquisition, we can observe that the variation is mainly split by the previously mentioned drop in revenues, a 21% or $10.3 million increase in cost of sales, explained primarily by a higher consumption of materials and spare parts due to the continued maintenance performed on the gas turbines at the Lujan de Cuyo plant. A 15% increase or $1.3 million in SG&A, mainly driven by higher personal costs, maintenance activities, and taxes on bank accounts. And finally a 22% increase or $3.3 million in other operating results net, mainly due to higher interest from operating activities. Moving to the next slide, consolidated net income for the quarter amounted to $10.6 million, decreasing 66% on a year-over-year basis. In addition to the lower adjusted EBITDA of the period, the net income was impacted by a combination of the following factors. First, a higher loss on net monetary position of $40 million which was partially offset by better results on our associated companies. A decrease of $18 million in net financial results, mainly due to the higher negative effect differences, partially offset by a gain in financial assets measured at fair value, all of this being partially offset by a higher positive foreign exchange differences and interest related to the FONI receivables for $25 million, and higher positive results from an increase in the variation of the fair value of the biological assets from our Forestry segment for $16 million. And finally a lower income tax of $2 million due to the lower earnings before taxes of the period. Going on to Slide 13, we can see the evolution of our cash flow during the first nine months of the year. Cash flow provided by operating activities amounted to $171 million, arising mainly from the adjusted EBITDA generated in the period and a $42.1 million in collection of interest from clients, including those of the FONI program, being all this partially offset by income tax payments of $54.3 million and $6.2 million in negative working capital variations. Net cash used by investing activities totaled $78 million. This was mainly due to the acquisition of the companies made along the year, coupled with $11.5 million in investments in property, plant and equipment, $1.8 million from the selling of short-term financial assets, and $1.7 million from the share buyback program implemented in the quarter. All of this being partially offset by a collection of $2.2 million in dividends during the period. Net financing was negative in $85 million. This was basically the result of almost $78 million in debt service amortization, primarily related to the Brigadier Lopez syndicated loan and the principal majority of the Manque and Olivos dollar-linked bond in last September, along with $28.3 million in interest and other financial costs related to the long-term loans, $12.1 million related to bond buybacks and the cancellation of overdrafts in checking accounts for another $2.4 million. All of these were partially offset by $41.4 million in financing obtained in the period. This was mainly due to the issuance of our Class A Notes for $37.2 million in last September. Consequently, our cash position as of September 30, 2023 amounted to $58.2 million. At current investment in financial assets, our total current liquidity amounts now to $317 million. To conclude with the presentation, in this slide, I would like to bring to you our debt maturity schedule, but in particular, I would like to highlight the successful liability management carried out during September and October and that will considerably alleviate our debt maturities for the year 2024. In that connection, on October 17, the company issued its first international bond for a total amount of $50 million with a two-year tenure at a rate of 10%. This allow us to partially prepay only two days later, $49 million of the outstanding $55 million of the syndicated loan signed with Citibank, JP Morgan and Morgan Stanley, remaining now only $6 million to be paid in January 2024. This not only permitted us to refine our short-term debt maturities, extending the debt life and reducing financial costs, but also help us to lift dividend payment restrictions that were imposed as covenants of a syndicated loan. In that connection, and as previously explained, the company has announced that we'll be distributing dividends to our shareholders with a combination of Argentine pesos and securities on November 16. This way, maturities for 2024 amounts now only to $38 million, being manageable and clearing short-term uncertainties. It is also worth mentioning that on September 14, the company issued the Class A note denominated, integrated, and payables in US dollars for a total amount of $37.2 million at the rate of 7% and maturity in 2025. These classes note were reopened on October 20 for an additional $10 million issued at a price of 102.9%. With this, I would like to conclude the presentation and now we invite you to ask any question to our management team. Thank you for your attention.
Operator: We will now begin the question and answer session. [Operator Instructions] Your first question is coming from Rodrigo Nistor with Latin Securities. Please pose your question. Your line is live.
Rodrigo Nistor: So given the change in the government in 2024, how you're modeling the impact on legacy energy remuneration, what scenarios are being considered in terms of regulatory changes and how this might affect your strategy for your thermal project? Thank you.
Fernando Bonnet: Hi, Rodrigo. Thank you for your question. I can't hear you very well. I assume that you're asking for Energy Advancement Remuneration Framework for 2024, is it correct?
Rodrigo Nistor: Yes. Can you hear me better now?
Fernando Bonnet: Okay. Yes. Well, as you know, this -- the Energy Advancement Remuneration Framework is a framework in which we receive the amounts in pesos and the Secretary of Energy establish the tariff and make the adjustment of that tariff in terms of inflation. Right now we are reaching -- with the last increase on November, we are reaching an increase this year of 150% for this year. We are trying to push for another increase on December, trying to catch all the inflation of this year, but we don't know now if we can get it or not because, of course, we need to wait until the elections if we have the same Secretary of Energy or the same government or we need to discuss with a new one. But we are confident that we can at least cap the inflation this year. Next one depends on the new administration coming, if they're going to establish a regular basis adjustment, which is what we want, trying to have an automatic adjustment in trying to cover inflation, not going step-by-step, discussing every three months the adjustment is which we have right now. So we are confident to try to set a scheme of adjustment, automatically establish, trying to catch the inflation, as I mentioned, automatically. We talked with the possible ministry or Secretary of Energy, and they are aware about that. They know that we need to have that. We talked with the actual Secretary of Energy, and she knows the same, that we need to have an adjustment more automatically than we have now. And I think this will be the challenge for the next perhaps quarter. Of course, first, they need to adjust the tariff, the end-user tariff, and we need to have the same, like -- or a scheme which is in order with that. So, first, they need to solve, I think, the problems to establish a new tariff, end-user tariff scheme, and then we can discuss how we can enter in that scheme and having an automatical adjustment. So, that's our idea about how we can discuss the future in terms of legacy energy.
Rodrigo Nistor: Okay. And I have a second question, if I may. If you could outline Central Puerto's investment plans for 2024, including potential acquisition targets, progress in transitioning to combined cycle, and your expectations for the upcoming energy options and their impact on the company's position and performance. Thank you.
Fernando Bonnet: Okay. So, the first thing that we have ready to start is the Brigadier Lopez closing combined cycle, which is in the finish. We are finishing the discussion with EPC constructor this month, I think, and we'll start the construction perhaps early January. So, this is the first more clear investment in CapEx, new investment in CapEx. This will be around -- it's not really -- it's not fully closed, but it will be around $140 million and $150 million in CapEx, and around 20 months of construction. We will reach an output of 400 megawatts in this combined cycle that we have in Santa Fe. And then, in terms of new projects, as you know, we are participating in a bidding process, and maybe thermal process, thermal auction, and we are confident that we can at least reach two projects there. It's not fully finished. We expect that to have an announcement perhaps this week or the next one. But, of course, that will depend on also, I think, the ending of the result of the election. And in terms of acquisitions, we are still looking in terms of new capacity in renewables. We are seeing several projects there, but we don't have any clear view about how we can continue the process because we are in the early stages. We are still looking at possibilities in mining, but also in early stages. So, we don't have another close possibilities right now. So, I think Brigadier Lopez is the more clear one, and second, the thermal options coming is another possibility.
Rodrigo Nistor: That was really helpful. Thank you.
Operator: Your next question is coming from Martin [Arenta] (ph) with Balance Capital. Please pose your question. Your line is live.
Unidentified Analyst: Hi. Thank you. Thank you very much for the materials and for taking my questions. I have three questions. I would like to run them one by one also, if that's okay. First, now that you have paid the syndicated loan, what could we expect in dividends or share repurchases for next year?
Fernando Bonnet: Well, as you mentioned, we are -- right now we don't have any limitation to pay dividends, so we want to come back to the regular basis payments as we have in the past. So, the amount will, of course, depend on the tariff adjustment, how many megawatts we get awarded in the thermal option, and of course, the possibility of receiving financing in the future. But having said that, we want to come back to regular basis payments.
Unidentified Analyst: Very clear. Thanks. And then you already mentioned something about it, but I was wondering if you have any news on the evaluation of mining projects, if you think that Central Puerto could close a deal next year.
Fernando Bonnet: Well, for sure, we're going to put focus on that. As I mentioned, we are in the early stages, so I cannot comment on how or when we can get the closing, but we want to put focus and see alternatives in that sector, yes.
Unidentified Analyst: Okay, thanks. And my last question, well, you were one of the main leaders in the recent thermal option, and of course, we are still waiting for the results, what IRR were you aiming for, and do you see a risk on financing rates for next year if the new government removes capital controls?
Fernando Bonnet: Okay, well, as you know, it's an open process right now. So I cannot comment specifically the IRRs that we are seeing, but I can say, yes, that they, of course, are related to the Argentine risk and the risk you mentioned of the financing -- perhaps limitations of financing situation that we can face in the near future. So the returns are according to that, but I cannot go forward because it's an open process.
Unidentified Analyst: Okay. Very helpful. Thank you.
Fernando Bonnet: Thank you for your interest.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Fernando Bonnet for any closing remarks.
Fernando Bonnet: Okay. Thank you to everyone for your interest in Centro Puerto. We encourage you to call us for any information that you may need. Have a great day. Bye-bye.
Operator: Thank you. This does conclude today's conference call. Have a wonderful day.